Brett Maas: Good afternoon, everyone, and welcome to Mobivity's First Quarter 2024 Earnings Results Call. Hosting the call today are Bryce Daniels, President; and Kim Carlson, Chief Operating Officer. 
 Before I turn the call over to management, I'd like to call everyone's attention to the company's safe harbor policy.  Please note that certain statements made on this call will be forward-looking statements, which are subject to considerable risks and uncertainties. We caution you that such statements reflect management's best judgment based on factors currently known and that actual results or event could differ materially. 
 Please refer to the documents filed by the company from time to time with the SEC, and in particular, its most recently filed annual report on Form 10-K. These documents contain and identify important risk factors and other information that may cause actual results to differ from those contained in the forward-looking statements. Any forward-looking statements made during this call are being made as of today. If the call is replayed or reviewed after today, the information presented during this call may not contain current or accurate information. Except as required by law, the company assumes no obligation to update these forward-looking statements publicly or to update the reasons actual results could differ materially from those anticipated in the forward-looking statements, even if the new information becomes available in the future. 
 Today's call may include non-GAAP financial measures, which require a reconciliation to the most directly comparable financial measures, which are calculated and presented in accordance with GAAP and can be found in today's press release, along with our recent corporate presentation, which is also available at mobivity.com. 
 With that said, I'd like to turn the call over to Bryce Daniels, Mobivity's newly appointed President. Bryce, the floor is yours. 
Bryce Daniels: Thank you, Brett, and good afternoon, everyone. We appreciate you all joining us today for Mobivity's First Quarter 2024 Earnings Conference Call. For investors new to our story, Mobivity is a marketing technology company that operates a performance marketplace connecting brick-and-mortar brands to digital audiences and vice versa. Building on the momentum of our business transformation in 2023, Q1 2024 was marked by the continued expansion and success of our Connected Rewards platform.  
 I want to highlight the simple yet powerful formula in driving our business. Mobivity's revenue is the number of viewers of our programs, multiplied by the  conversion rate of that audience taking action, multiplied by the revenue we received from game publishers for each of the action taken. In Q1, we began seeing the result of our success in driving these KPIs forward. We grew our audience by about 30% over 9 million consumers. This expanding audience is the fuel for our growth. We launched programs and expanded our footprint with major new brand partners, including Marathon, Chevron, Texas Born Convenience Stores and fast casual pizza leader Pieology. Adding these market-leading brands significantly expand our footprint and build the case studies that fuel continued growth. 
 Through product diversity, optimization and innovation, we increase conversion rates of audiences engaging with our programs. Higher conversion equals more revenue, driven by the outstanding performance of our Connected Rewards products, which, in many cases, deliver multiples above game publishers targets, the revenue we received from game publishers has begun to increase. This proves the value of our programs to gain publishers and is an early sign of continued expansion. We continue to grow the number of mobile game titles leveraging our platform. 
 More games means more programs, which signal the value of our programs. Our progress in Q1, expanding audience, both on the brand and game side of our marketplace, increasing conversion and growing revenue per action gives us high confidence and visibility into our continued growth trajectory. 
 With that, I'll now hand the call over to Kim Carlson, our COO, who will provide further details on our Q1 operational progress and outlook. Kim? 
Kim Carlson: Thank you, Bryce. Mobivity's Connected Rewards platform offers a powerful new performance-based marketing channel for the over $40 billion spent on mobile app user acquisition and retention. Our early success is validating the opportunity as we continue to scale and innovate. I'll again emphasize the elegance and potency of Mobivity's model. Our platform seamlessly drives consumers between brands owned marketing channels and physical locations to the digital environment of mobile games and conversely drive digital audiences from mobile games back to brick-and-mortar brands. 
 We facilitate these valuable interactions and generate between $3 to $7 in revenue each time, all while maintaining desirable gross margins. This is proving to be a win-win-win for mobile games, brands and Mobivity. In Q1, we launched high-profile new programs with leading brands and greatly expanded our offerings with our brands. These placements are delivering exceptional results, far outpacing the return on ad spend goals of our game partners and performing well beyond brand partners thresholds for driving incremental store visits and purchases. 
 Our opportunity pipeline is more robust than ever, and we remain intensely focused on platform optimization to efficiently capitalize on our immediately addressable market. As we progress through 2024, we will continue expanding our technology partnerships, launching innovative products and rapidly scaling this highly valuable business. 
 With that, I'll hand the call back to Bryce for his closing remarks. 
Bryce Daniels: Thank you, Kim. In summary, Q1 represented another significant step forward in the growth and maturation of Mobivity's Connected Rewards business. The focus and innovation we brought to our platform in 2023 is now delivering undeniable results and momentum in 2024. We're excited that Connected Rewards offers a powerful new approach to driving mobile engagement and a massive untapped market opportunity. We've opted not to review detailed financials on this call and instead direct investors to our public filings. 
 Operator, please open the call for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Jeff Porter from Porter Capital. 
Jeff Porter: First of Bryce, congratulations on your appointment. I don't know if this is for Bryce or Kim, but can you talk maybe -- are you still concentrating on the convenience verticals, the gas station with convenience stores and restaurants? Is there one of those that sticks out as an area of emphasis. And could you give us some flavor of what the sales pipeline looks like and has the sales process been shorter or longer than you anticipated? 
Bryce Daniels: Thanks, Jeff. I appreciate the question. I'll answer quickly and then kick it over to Kim for a little more detail. I think at a high level, Mobivity's DNA is in the QSR and convenience space, and we've got a lot of momentum in those spaces. So we continue to dedicate a lot of our sales efforts to those 2 verticals. But we're definitely keeping our eyes open and dedicating some resources to opening up new verticals and other channels, things like direct-to-consumer brands other streaming services, podcast networks, things that are digital environments that live and die by acquiring users are all potential verticals that we're chasing, but we're still spending the vast majority of our time on quick service and convenience just because we have some significant momentum in that space. Kim, do you want to answer the rest of the question? 
Kim Carlson: Yes. Jeff. Yes, I'll just tag on to that. So the sales pipeline is very strong. We've grown the footprint of our marketplace, is really just a handful of accounts that we've noted in the release -- in the press release. So there's a lot more to gain from both convenience store and quicker restaurant space. 
 As far as the sales cycle. Great news is we're seeing such great data on the programs that are currently running over the last, say, 3 to 6 months, but that definitely attributes to a shorter sales cycle because we have quantitative data to share with new prospects of how the programs are working for them, things like driving much more engagement into a branded app, bringing folks back into store to redeem their reward. And so it's both physical and a digital experience, and those data points help us shorten that cycle by sharing that relevant performance proof to more customers in the convenience space and in the quick serve restaurants space. 
Jeff Porter: And in terms of determining pricing with the customers, do you go in with sort of a fixed price notion? Or is there some performance-based level in the pricing? 
Kim Carlson: Sure. Yes. 
Bryce Daniels: Yes. Sorry, go ahead, Kim. 
Kim Carlson: Yes. I think we have talked about this before, but just to refresh, we do work with our gaming partners on a fixed price based on certain engagement or install of the game. That is not in real-time adjusted, but it is frequently adjusted as they see performance and results of the campaign. So that may be over a 2-week period or month-over-month, we will see increases in fixed prices based on the outcome of the campaign. 
Jeff Porter: And from the gaming company's perspective, do they actively measure time of play and engagement, things like that to quantify how your programs are changing the delta on that? . 
Kim Carlson: Absolutely. We actually do get real-time data on things like retention rate, the players that we're delivering to new gaming partners, how there's players retaining in the game. How much are they playing? Are they purchasing enough events? Are they watching ads in the game? So we see that through an automated integration with their attribution partner. So we definitely see a real-time -- fairly real-time a result of the performance of the players that we're sending. And as we've noted in the release coming out, we're seeing on a regular basis that we are exceeding the performance baseline metrics for our gaming partners, the return on ad spend or retention rate. 
Jeff Porter: Are you referring to a press release from today because I haven't seen it yet come across my data services. 
Bryce Daniels: Yes, it should be out any minute now. 
Jeff Porter: Okay. I have the Q came out, but I don't see the press release. That's all for me. 
Bryce Daniels: Thanks, Jeff. Appreciate your support. 
Operator: [Operator Instructions] No further questions at this time. I will turn the call back to our speakers. 
Bryce Daniels: Thanks, everyone, for your support. We look forward to updating you at our next call. Operator, we can end the call. Thank you. 
Operator: Ladies and gentlemen, thank you for participating. You may now disconnect.